Operator: Good day ladies and gentlemen, thank you for standing by. Welcome to the GSV Capital’s First Quarter 2015 Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference is being recorded today Thursday, May 7, 2015. I will now turn the conference over to Nick Franco of GSV Capital. Please go ahead sir.
Nick Franco: Thank you for joining us on today’s call. I’m joined today by GSV Chairman, CEO and Chief Investment Officer Michael Moe; and Chief Financial Officer Bill Tanona. Please note that a slide presentation that corresponds to today’s prepared remarks by management is available on our website at www.gsvcap.com under Investors, Events & Presentations. Today’s call is being recorded and broadcasted live on our website www.gsvcap.com. Replay information is included in our press release that was issued today. This call is the property of GSV Capital Corporation and the unauthorized reproduction of this call in any form is strictly prohibited. I’d also like to call your attention to customary disclosures in our press release today regarding forward-looking information. Statements made in today’s conference call and webcast may constitute forward-looking statements, which relate to future events or future performance or financial condition. These statements are not guarantees of our future performance, or future financial condition or results and involve a number of risks, estimates and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including but not limited to those described from time to time in the company’s filings with the SEC. Management does not undertake to update such forward-looking statements unless required to do so by law. To obtain copies of GSV Capital’s latest SEC filings, please visit the website at gsvcap.com. Now, I would like to turn the call over to Michael Moe.
Michael Moe: Thank you, Nick, and good afternoon. We’re delighted to have the opportunity to share with you the results of what we believe was a very strong quarter for GSV Capital, including achieving our NAV since inception. First, I will review our portfolio as of March 31, 2015, then I will highlight some recent developments and update you on several follow-on investments. I’ll then turn it over to Chief Financial Officer, Bill Tanona who will briefly provide a financial overview and then open it up for questions. So let’s start with slide three. As of March 31, 2015, our net assets were $302 million or $15.66 per share, beating our previous NAV high of $15.17. This is up from our NAV of $14.80 per share as of December 31, 2014 and $14.91 per share as of March 31, 2014. Now let's turn to slide four. In the first quarter we sold 400,000 shares a Twitter, resulting in $13.2 million of net realized gains. This came from us selling a portion of our position at Twitter and an IRR of 39.3%. As we previously stated, it is our general intention to liquidate our public positions within 12 months after the IPO lock-up expires. We believe it is important to continue this successfully demonstrate ways to monetize our positions. Thus subsequently to quarter-end we sold an addition of 400,000 shares of Twitter at an average price of $5.52 per share, realizing a gain of $13.7 million for our shareholders, yielding an IRR of 43.5%. We will continue to pursue opportunities that we believe will optimize return for our shareholders. Please turn to slide five. For the first quarter, our top ten positions accounted for approximately 60% of our total portfolio. Our three large investments Twitter, Palantir, and 2U represented 34.2% of the total portfolio. 2U, our third largest position has proved to be a very disruptive game changing leader in online learning and has crossed the $1 billion market cap threshold in under six years. In the quarter, 2U announced a major partnership with Yale University. 2U’s 2015 program pipeline is also off to a very promising start, including the Syracuse MBA program, SMU Graduate Degree of Earth Sciences, but otherwise following the previously successfully launched data science program at Cal-Berkeley. North Western’s Masters Counseling degree, and the Syracuse Masters in Communication Degree. We were also strong believer in the tremendous potential of our eight large position data miner, as it continuous on its path in becoming the World’s leading real-time information discovery country. This quarter Dataminr raised a significant $130 million financing led by Fidelity. Dataminr’s analytic engine transforms social media streams into actionable Twitter based signals providing clients in the financial government and news media sectors with one of the earliest warning systems for market relevant information, a noteworthy advance in emerging trends. Please turn to slide six to look at equities in the IPO market today. In 2014, we saw the strongest year for the U.S. IPO market since the internet bubble of 2000. As the number of tech IPO pipeline companies with billion dollar valuation sky rocket. In contrast IPO market in the first quarter 2015 got off to somewhat slow start, despite equity industries hit all time highs. According to Renaissance Capital, the 34 IPO in the first quarter of 2015 raised $5.4 billion, which makes it the least active quarter by IPO count in two years and the smallest by proceeds raised since the third quarter of 2011. What led to the shift in VC based companies named private longer, obviously this has been a core part of our thesis from the beginning of GSV Capital and one of the reasons we believe there is such a major opportunity for our strategy, but one key fundamental reason for this is being public caused lot of money as a big time sink for management. So poor structures for small cap public companies has become obsolete with little research, with little trading, and little investor interest. The second reason, the companies have little earnings to seek IPO capital with the abundant availability of private funding at current and very evaluations. This is concept of unicorns the previously where almost never seen billion dollar value VC backed private companies are now increasingly less ware where they used to be with roughly 80 Unicorn’s now in existence. Investors are start up [ph] for growth and supply effectively induces demand. The third reason is finally, private company markets are creating liquidity alternatives to minimize the pressure when public. Tech company such as Dropbox Airbnb square provide liquidity with tender offers or companies issue equity outside of investors use these proceeds to buy back shares from existing shareholders. Next turn to slide seven, where we break-out our portfolio makes you cross growth themes as of March 31. We are constantly analyzing the growth economy and how mega terms are influencing in emerging themes. As we invest with the mega winners will be found. Of the five key investment themes that we’ve identified education, technology continues to be our largest commitment, representing 35.1% of the portfolio, Cloud Computing baked in as 29.1%, Social/Mobile is 21.5%, Marketplaces been 8.7%, and Sustainability is 5.6% of the total portfolio. Please turn to slide eight. Along with this education technology theme, we hosted our sixth annual highly successful Ed Tech Conference in Scottsdale in April, which hosted 270 of the leading most disruptive Ed Tech companies in the world. The New York Times said it was the most must attend event in education technology and we had key notes such as Richard Branson, Howard Schultz, Fiona Osler; Common, the Oscar-winning rapper, Mitch Daniels and Secretary of Education, Arne Duncan. We believe this adds tremendous value for our portfolio companies as a great social opportunity to find new investments. Next, please turn to slide 9. During the quarter, we add to our seventh largest position PayNearMe, a next generation electronic cash payment platform. It’s estimated there is as many as 80 million unbanked customers in United States. And by allowing these customers to pay auto rent utility bills through 17,600 retail locations, we’ve made this previously [indiscernible] process much more efficient. We made a $4 million follow-on investment along with other existing investors, August Capital, True Ventures and Khosla Ventures as the company continues to aggressively expand its retail footprint and the breadth of industries that its payment system covers. Please turn to slide 10. In March 2015, we participated in $530 million Series B financing in Lytro and startup Lyft with a $2.5 billion follow-on investment on top of the $5 million investment that we made previously. Investors in Lyft have included Andreessen Horowitz, Coatue and Alibaba. As reported in the Wall Street Journal, Lyft is currently being valued at $2.5 billion as experiencing hyper growth. Lyft currently operates in 65 cities in United States. The additional capital primarily be used as a U.S. expansion and building out Lyft line, the company’s capital service as it seek to gain greater market share. Now, let’s turn to slide 11. In January 2015, we made $1 million follow on investment in GSV Labs. GSV Labs which was previously known as NestGSV is a hub of innovation focused on accelerating the high growth, high impact vertials of EdTech, Sustainability, Big Data, and Mobility. Obviously four key themes for GSV Capital. On the 72,000 square foot Silicon Valley campus, GSV Labs houses over 100 startups provides unparalleled networking opportunities in part of industry leaders such as Google, Intel, AT&T, Tata, IBM and Toyota to build out comprehensive education program and thought leadership. Last month, GSV Labs launched the EdTech Innovation Core Lab and Core Labs Game Accelerator [indiscernible] robust start up ecosystem. Please move to slide 12. We also made $1 million follow-on investment in Fullbridge program. The Fullbridge program is essentially a finishing school for business. The white space between what you learn in traditional school and what you need to know to be successful in the real world. Another GSV investment, general assembly, plays the same thing. We live in a knowledge economy one which all levels of next generation workers need to work as productively as possible in a rapidly changing landscape. The jobs being surveyed left and right. We believe that Fullbridge can be the global brand in the business education market, align with the lead university’s top education brands to global distribution partners. It’s rapidly scaling in our opinion build a formal prestigious global run rate base. With additional capital, the company sees to continue international expansion to further develop its software platforms. Current CEO is Candice Carpenter Olson, who is a pioneer of iVillage and Peter Olson, who is the former CEO of Random House. Now, please turn to page 13. We made a $0.5 million follow on investment in GSV Sustainability Partners. GSV Sustainability Partners is a transformative finance company that leverages the rapid global adoption of proven sustainable products, thereby delivering meaningful customer savings through a more effective use of energy, water and waste. We think this is somewhat analogues to what we saw happened to solar industry with solar city. This is led by former Kleiner Perkins partner John Denniston. Please turn to slide 14. Lastly I want to invite each and every one of you to our second annual investor day on June 03 from 1:00 PM until 05:00 PM at GSVlabs located at the heart of Silicon Valley. We will have CEOs from many of our companies present including Ozy Media, Enjoy, Declara and Chegg. Thanks for your attention and with that, I’ll turn it over to our CFO, Bill Tanona. Bill?
Bill Tanona: Thank you, Michael. Today, I will be providing you with a brief financial overview and update on our current liquidity position, and update on the status of our 851E application, a brief comment on our recent change in auditors, and details about our upcoming annual meeting which Michael just mentioned. Now, please turn to slide 15 for the financials as of March 31, 2015. Our NAV could increase 5.8% quarter-over-quarter to a record $15.66. Of the $0.86 increase, realized gains of $0.68 per share and unrealized depreciation of $1.44 per share were partially offset by $0.87 per share in tax provisions related to these items and $0.39 per share of net investment losses. Although the market value of our portfolio increased meaningfully this quarter, the increase was fairly narrow and driven primarily by increasing values at four of our 52 portfolio of companies and these includes Twitter, Dataminr, 2U and Lyft. Our liquid assets ended the quarter at approximately $110 million, consisting of $8 million of cash, $2 million of unused borrowings under our credit facility, and $100 million of public securities not subject to lock of agreements, although approximately $31 million are still subject to other sale restrictions. Subsequent to quarter end, GSV sold an additional 400,000 shares of Twitter at an average price of $51.52 per share, raising an additional cash of $20.6 million. However, we use some of our excess cash to pay off the outstanding balance on our credit facility subsequent to quarter end. Now, I would like to spend a couple of minutes to give everyone an update on our pending RIC status. As many of you are aware, we resubmitted our A51E application to the SEC back in December. At the end of March, we received comments back from the SEC regarding the application and they have requested additional information from us. We continue to work closely with our attorney and the commission and hope they have a resolution to this matter in the near future. Once we receive clarity on this matter, we will be better able to provide investors with our future distribution and capital management plans. Now, please turn to slide 16. On April 27, upon the recommendation of the Audit Committee, our Board appointed Deloitte & Touche to serve as our new independent registered public accounting firm to audit our consolidated financial statements for the fiscal year ended December 31, 2015. We are thrilled to have Deloitte & Touche as our new audit partner. Our [indiscernible] have grown considerably since our inception. With this growth, we felt our shareholders will be better served by an audit firm with significant experience in working with BDC. Deloitte’s extensive experience and institutional knowledge area will add value and serve us and our shareholders well as we continue to grow and build for the future. And lastly, as Michael had previously mentioned, we’d like to invite all of our shareholders to our 2015 annual meeting scheduled for Wednesday, June 03 at 12 PM Pacific Time. Our meeting will be held at our portfolio of company, GSV Labs in Redwood City, California. The details and the address are shown on slide 17 on the presentation deck. We appreciate all of your support in GSV Capital and look forward to meeting you there. That concludes my comments. Now, we’d like to just thank you for your interest and I’ll turn the call over to the operator for Q&A session.
Michael Moe: And while we are waiting for the instructions from the operator for questions, just a point of clarification. We have our annual meeting at noon on June 3 at GSV Labs and then at 1’o clock we are having our Investor Day which is following that, which will go from 1 pm to 5 pm.
Operator: [Operator Instructions] We will take our first question from Jon Hickman with Ladenburg.
Jon Hickman: Hello. Can you hear me okay?
Michael Moe: Yeah, Jon.
Jon Hickman: Okay. Good afternoon. Could you talk about some of the other names on the education, Coursera, the Avenues or the [ph] holding, you have such a large position there in – 35% of the portfolio and I know obviously to you it’s working out nicely, but could you discuss some of the other names?
Michael Moe: Sure. I’ll be delighted. Thanks, Jon. Yeah, so, obviously, 2U is our largest position, which we made about a $10 million investment at $7 a share couple of years. And now, it’s our third largest position through appreciation. And again, we haven’t sold any shares to date and have great conviction of the future growth. Coursera is our fifth largest position overall. We’ve made nearly a $15 million investment. Coursera is a leader in what’s called MOOCs, massively open online courses, which is the leader in this area. 12 million students that they have and 110 universities have partnered with Coursera. We remain close to the company. We have with invested with Kleiner Perkins in [indiscernible] but the company is progressing very, very impressively in our mind. It brought in the former President of Yale University, Rick Levin, about a year ago. He’s done a phenomenal job. Avenues is the world school, it’s created a global network of elite K-12 schools in the world’s great cities. New York City is its first campus. By many peoples account, the most successful private school to be opened anywhere in the United States or anywhere else. Again, a very big successful opening and very exciting potential with Avenues. Another significant position of ours, but not in the top 10 is Chegg, which is public, obviously, yesterday. Reported a very, very strong quarter. Stock was up I think over $1 today. With investors starting to kind of gravitate what’s really going on. I think unfortunately when it public, it was going through the transition to an online offering and still had service legacy business, and as it was going through a transition, I think investors are confused. If you look at the business overall, the valuation is just about 2 times sales with an online piece of their business that is growing at north of 50%. And so I think as people start to really evaluate the business on what’s the future looks like, we think that has tremendous upside from there. So, those are three relatively significant positions that you can highlight. Maybe I will just make one other reference, a company called DreamBox Learning, which we are an investor in with Reed Hastings, the CEO of Netflix, and John Doerr from Kleiner Perkins. What DreamBox does is it’s creating a highly adaptive math learning technology where basically students – kids playing games with every single click. It’s adapting and becoming more individualized for each student and is proven to be extraordinarily effective and the company is growing at a really higher rate. So, we think we’ve got an extraordinarily powerful portfolio of education technology business that we think will benefit shareholders. We’ve obviously made a big bet this year, we think that’s going to drive huge value for us for the future. Thanks for your question.
Jon Hickman: If there aren’t any other question, can I have a couple of follow-up?
Michael Moe: Why won’t we see if there is questions – we would like to do – to give everybody a change, Jon, and then if there aren’t, for sure.
Jon Hickman: Sure. Okay.
Operator: [Operator Instructions] And at this time, there are no further questions in our queue.
Michael Moe: So, that’s fine. So maybe you can ask some follow-up questions.
Jon Hickman: Okay. Any comments on the likelihood of the next IPO in your portfolio, which were due, been like available?
Michael Moe: Yeah, I think the good news is that you’ve got a number of companies that could go public if they chose to. And so, I think, we are encouraged by – maybe when you look at Palantir, obviously, with tremendous interest, growing really fast, sizable business. Dropbox is doing phenomenally well. I think it can go public when it wanted to. And so, I mean, we got a number of companies that I think are poised to go public kind of on their terms. As we mentioned earlier in our comments, the IPO market has slowed down a little bit year-to-date, which frankly I think is healthy. I think when you put too much supply in the market, investors gets fatigued. And so, I think, as the leading companies come out, I don’t know, I think there will be strong into this because we will have, I think, a healthy overall market for growth companies and investors looking to pay for futures. So, anyway, it’s probably because of our position with a number of these companies and knowing actually if they would go or not go, it probably isn’t appropriate for us to go much further detail about it. But I just would, I guess, I would say, as you’ve got a number of these companies, which are at the size and I think kind of growth characteristics that could go if they like to.
Jon Hickman: And then one last question, I think if I do the math right, you’ve got about 1 million shares of Twitter left?
Michael Moe: That’s the math. That’s the math.
Bill Tanona: 800,000.
Michael Moe: 800,000.
Operator: At this time, this does conclude today’s question-and-answer session. I’d like to turn things over to our speakers for any closing or additional remarks.
Michael Moe: Well, thank you everybody for tuning in. As I said at the beginning, we are pleased with the way things are going here. We think our portfolio overall is doing quite well. The growth characteristics are tremendous. And I think we’re in a great position to be able to invest in the leaders of tomorrow. And so, our job here is to keep on growing NAV and being smart with the way that we optimize the outcomes from the portfolio. So thank you for everybody’s interest. If anybody has any follow-up questions, please let us know here. But thank you and we will talk to you soon.